Operator: Good morning, ladies and gentlemen, and thank you for waiting. Welcome to the Cosan’s Conference Call to discuss the Results of the Second Quarter of 2022. Today with us, we have Mr. Luis Henrique Guimarães, CEO; Mr. Ricardo Lewin, CFO and IRO; and Ms. Ana Luisa Perina, IR Manager. We would like to inform you that this event is being recorded and it has simultaneous translation to English. During this event, all participants will be able to listen to presentation. Afterwards, we’ll begin the question-and-answer session and further instructions will be given. Before proceeding, let me mention that forward-looking statements that may be made during this presentation regarding the company’s business projects, operating and financial projections and goals are based on beliefs and assumptions of the Cosan’s management as well as on information currently available to the company. Forward-looking statements are not guarantees of performance. They involve risks, uncertainties and assumptions as they relate to future events, and therefore, depend on circumstances that may or may not occur. General economic conditions, industry conditions and other operating factors may affect the company’s future results and may lead to results that differ materially from those expressed in such forward-looking statements. Now, I would like to turn the conference over to Mr. Ricardo Lewin. Please Mr. Ricardo Lewin, you may proceed.
Ricardo Lewin: Good morning, everyone, and thank you for participating in Cosan’s earnings conference call for the second quarter 2022. With me today, I have Luis Henrique Guimarães, our CEO and Ana Perina, our IR Manager. Before starting the presentation. I would like to point out that we achieved the strong results this quarter consistent with our strategy. Let’s now go through the main financial and operational highlights of each business. Let’s start on Slide 4 with Raízen. This quieter that marks the start of 2022, 2023, raisings crop year delivered strong operational performance and [indiscernible] in adjusted EBITDA in line with our guidance. In renewable. the quarter was leveraged by the combination of higher sales volumes and better pricing. In the sugar segment, EBITDA also grew in the quarter supported by greater sales of third-party products and by the better average price, reflecting the effective pricing strategy and higher share of direct sales to destination. Meanwhile, the marketing and service segment delivered very robust EBITDA growth. In Brazil, Raízen quickly adjusted its supply and sales strategy to ensure the sourcing and competitiveness of its clients. In the LatAm operations, the record result in the quarter was driven by stronger demand operating efficiency gains and are recovery in profitability at the pump. In addition, Raízen continued to advance in new businesses such as incorporation of Shell Lubricants business, and leverage its renewable agenda delivering a record E2G production. Let’s turn now to Slide 5, which shows Rumo’s figures. The better EBITDA’s performance was due to transported volumes growth in the North Operation, which was naturalized by adverse effects of soybean crop setback on the South Operation. Rumo also captured market share in grain exports from the Port of Santos, reflecting competitiveness gains and the ramp-up in volumes in the Central Network. Fixed costs and expenses lagged inflation in the period, attesting the company’s commitment cost control discipline. Margins improvement compared to the first quarter 2022, but still showed our traction year-on-year, due to the highly fuel prices that were not fully offset by tariffs increase. In July, their foreign event after the reporting period, Rumo announced the divestment of port assets as part of its portfolio management process. Let’s turn to Slide 6, which shows the highlights of Compass. In Compass, Comgás and Sulgás, our natural gas distribution operations posted higher volumes in the residential, commercial and automotive segments, which offset the decline in the industrial segment due to scheduled maintenance, stoppage that were a red expected and lower activity. Once again, we recorded EBITDA expansion leveraged by higher margins as a result of the adjustment by inflation, as well as the continuous efficiency gains and the consolidation of Sulgás results. In July, after the end of the quarter, we had another great achievement with the closing of the acquisition of 51% of Commit Gás, the current name of Gaspetro. Considering this, we revised our EBITDA guidance for the year, raising our expectations, cap exposure actions remain and change it. Also in July, Commit concluded a sale of minority interest held in certain distributors as a result of the exercise of preemptive rights of other shareholders. We remain confident in our journey of building an increasingly free gas market. Moving on Slide 7, shows the result of Moove. Moove delivered record high EBITDA in the quarter driven by higher sales volume and profitability increase. It’s worth noting that in June, we consolidated the results from the acquisition of PetroChoice in the United States and of Tirreno in Brazil. These moves where in line with the portfolio expansion strategy. Moove’s performance continues to demonstrate success and excellent execution of its supply and operational strategies. Turning to Slide 8, you can see the consolidated results of Cosan. At Cosan Investimentos, the highest contribution to EBITDA came from [indiscernible] this quarter was occasionally leveraged by the mark-to-market adjustment for the price appreciation of its agricultural properties. At Cosan Corporate, G&A expenses fell, but we had again when compared due to the second part to 2021 due to discussion of recent FX from the calculation base of PIS/COFINS taxes on imports for lubricants operations from that period. We posted record high pro forma adjusted EBITDA driven by the excellent operational performance of all companies in the portfolio led by Raízen. The adjusted net income was affected by the additional no cash financial expenses at Cosan Corporate and the higher debt cost at all companies in the group, following the cumulative increase in interest rates regarding Cosan’s consolidation investments. We continued with our usual capital discipline. We had a CapEx increase compared to the prior period, which is mainly explained by Raízen with the incorporation of Biosev and construction of a new E2G plant, which offsets the lower CapEx at Rumo already forecasted by the guidance. Let’s go to Slide number 9, where we present the group’s financial highlights. We continue to carry out our usual liability management actions in the quarter. The increase in gross debt is expanded by the new debt insurance at Raízen by the funding transaction at Moove for the PetroChoice’s acquisition and by the new debentures issued at Cosan Corporate, as well as by the effect of exchange variation due to the weaker Brazilian Real in relation to the U.S. dollar. The free cash flow to equity can be explained mostly by seasonal effects on Raízen’s working capital and by greater investments that were partially offset by the higher operational cash generation at the other businesses. Leverage ratio fell to 2.4 times within the ideal range for the group and reflecting the significant EBITDA growth in the last 12 months. Although it’s not related to the quieter, I went to highlight that despite of our capital management process, we redeemed all of the 2023 bonds at the beginning of this month. Before closing, I went to go over some recent developments in our EESG agenda, which are advancing every day. Let’s please turn to Slide line number 10. In May, we reelected the members of our strategy and sustainability committee, which shared by a woman independent member. We also published the sustainability reports of Rumo, Moove and Raízen, reporting achievements, such as Rumo’s inclusion in the portfolio of 2022 corporate sustainability index of the B3. Moove becoming our final priority of the UN Global Compact and Raízen figuring on the A list of this CDP. In June, Comgás and Raízen were recognized by the Israeli guide best in ESG 2022. Comgás was recognized for its actions on valuing people, increasing its consumption of clean energy and expanding its infrastructure. And Raízen was featured for promoting the carbonization of various sectors in Brazil and the world. Lastly, Cosan was once again selected for the FTSE4Good portfolio, an important international sustainability index. That concludes my presentation, and we can now move on to the Q&A session. Thank you very much.
Operator:
Operator: Thank you. We will now start the Q&A session. [Operator Instructions] Our first question comes from Ms. Isabella Simonato from Bank of America.
Isabella Simonato: Good morning, Lewin. Good morning, Luis. Can you hear me?
Luis Henrique Guimarães: Yes.
Ricardo Lewin: Hi. Good morning.
Isabella Simonato: Great. Thank you. Good morning. My question is about the company’s cash. As Lewin mentioned, there was an increase in financial expenses due to interest rates and there was some derivative issues. And at the same time, I think there are prospect for results improving this year compared to last year based on the guidance of the companies and their performance so far. So could you talk a little bit about the cash equation for the year? I know you’re restricting your allocation, given the increase in interest rates, but how about dividends, buybacks and financial expenses in this equation for 2022?
Ricardo Lewin: Hi, Isa. Good morning and thanks for your question. I’ll start by answering and Luis can help me out. We have lots of options to use our cash as you said yourself. We have buybacks. We also have our usual commitments, G&A. We also have an installment of radars payments which is R$300 million in November, and there are other options in other businesses as well. And we can also prepay some debt. You saw that as a subsequent effect, we bought back the bond 23 ahead of time. So there are many, many options for us to use our cash. As we said in the previous call, this is a conservative year in terms of cash consumption. So that’s what we’re doing.
Luis Henrique Guimarães: Cooperatively speaking, we consider that we have to have a minimum cash level and we use what’s left over to do everything I mentioned. And then we do the math of what’s in our portfolio, how we can use cash. And then we decide on what we would prefer to do. So as a subsequent effect, we’ll be paying for the bond 23. We also can have an open share buyback program, including 110 million shares. We’ve bought back 80 million already. So there’s still some room for use if there are any interesting opportunities, when the time is right, and there are also potential opportunities where we may use our cash, but there’s nothing specific in addition to payment, radars, installment, that’s R$300 million November this year. And in the second quarter, as we disclosed, there was some additional cash consumption at Raízen, but that’s due to the period as was explained during Raízen’s call, there was greater sales to destination, higher sugar inventories and better payment terms for suppliers, so financial cost, market opportunities and better profitability. But when you look at the end of the fiscal year and the end of the crop year for Raízen, whatever was EBITDA turning and to cash is being maintained in line with Compass’ guidance as well. And I didn’t talk about dividends. We’ve paid out R$800 million in dividends this year and there is no plan to pay out any new dividends this year in 2022. All right. Isa, did we answer your questions?
Isabella Simonato: Yes. Sorry. I forgot to unmute myself. Yeah, that’s very clear. May I ask a follow-up question? Following the same rationale, we’re talking about numbers that will – won’t deleverage the controlling company that much. So there’s no great de-leveraging going on. Are you considering reducing your share in something so going in the opposite direction of what you’ve been doing the last few years to offset that? Or is that not part of the debates you’ve been having?
Luis Henrique Guimarães: No, no, we’re not discussing that. We’ve just done a few important things that move and Compass that was also subsequent effect to the acquisition of Gaspetro assets and turning that into comment. We’re very happy with our portfolio position and everything we’ve been doing. These are things that have been coming a long time. We’ve been talking about it internally, acquiring PetroChoice, everything we’ve done in gas, preparing to expand Rumo north network, the divestment we carried out at Rumo that will start as soon as CADI approves that in the Port of Santos warehouse. So we’re very comfortable with our current levels. As we know, CapEx has been adjusted more conservatively at the companies, but our main strategic initiatives that have value over time are continue very, very steady.
Ricardo Lewin: And as for deleveraging, as Luis said, we’re not deleveraging, but our leverage piggybacks on everything we did last year, especially Rumo, which had a poor second half of the year with the improvements we’ve seen, as you can see our results covered the last 12 months. And naturally there should be some subsequent deleveraging.
Isabella Simonato: Fantastic. Thank you.
Operator: Our next question comes from Thiago Duarte from BTG Pactual.
Thiago Duarte: Hello. Good morning, Luis. Good morning, Lewin. Good morning, everyone. So a couple of questions, please. First at radar, I just want to try and understand things a little bit better. Radar’s EBITDA includes two components, right? So you’ve accrued your land portfolio figures and your lease receivables, right? Could you break down those two figures please, because they’re very different in nature? So would be interesting to understand them independently considering the EBITDA for this quarter and the following quarters. And my second question is you’ve already announced a subsequent result of the shareholder’s preemptive right in the distribution companies at Commit. So Lewin, you mentioned that there’s still an installment to be paid by radar. So in addition to the R$726 million of the shares that already have an MOU, either signed or to be signed. Could you mention what is expected? Additionally, how much more will Compass receive once Commit’s portfolio has been equalized? So those are my two questions. Thank you.
Ricardo Lewin: Thanks, Thiago. So very simple at radar, we have a result recurrence of lease between R$40 million and R$50 million per quarter. And so the difference this quarter is considerable in terms of land appreciation. As for Compass, our estimates are that once we’ve made the investments of the 12 listed ones, the total will be R$900 million, which will be raised by those sales.
Thiago Duarte: Fantastic. That’s very clear. Thanks, Luis.
Luis Henrique Guimarães: No worries.
Operator: Next question comes from Vicente Neto from Bradesco BBI.
Vicente Neto: Thank you, Luis. Thank you, Ana. Thank you, Lewin. I also have a couple of questions. Could you talk a little bit about your strategy in terms of gas distribution across Brazil? What is your order of priority, which states within Commit will you be prioritizing for development? Is there any regulatory work to be carried out? We’re also coming closer to a new tariff review round by Comgás. Are you already talking to the regulatory agency about that? So you have a lot on your plate as usual. Could you talk a little bit about your strategy moving forward? And secondly, how do you see generally speaking to drop in fuel prices again for the distribution segment, obviously considering quality, parity, do you think that’s a good thing, a positive thing and cheaper fuel prices will also reduce pressure on margin and will also release some working capital will impact demand, but parities coming back. So maybe there will be some competition with imported product. Could you give us some color on the pros and cons that would be great? Thank you.
Luis Henrique Guimarães: Thanks. Thank you for the questions. I’ll start with Compass. Obviously, our priority right now is São Paulo, because it’s disproportionately stronger. We have Comgás and we’ll continue to focus on that. So we incorporated Sulgás and we’ll be looking after the portfolio. Obviously, we have distribution companies where we haven’t divested yet. So they are our responsibility and there are still some processes to go through. So as soon as we can disclose the portfolio to you, which ones we’ll be keeping we will. So I think it’s important to understand that since the beginning, we went from 19 to 7, precisely because we want to keep our focus and we will continue to keep our focus, obviously São Paulo, because of its relevance in terms of portfolio, we’ll have our main focus, but we’re very happy about going into other companies. We have some really good people. There are fantastic opportunities to be shared and achieved. We have know-how sharing from Comgás market approach, construction methods, marketing, agenda, partnerships with construction, civil construction companies with fantastic know-how, which has a great impact on the residential market. So there are lots of opportunities. And in a few weeks, we’ll be with the new companies and we’ve been in Sulgás for over six months and we reiterate that our thesis will work. And now with full focus on execution. You said, we have a lot on our plate. That is true, but all the M&A and the need to build that, to construct that we are now at that stage, we do have the divestment tail, but we have a fantastic team, fully focused. We are concluding the TRSP incentives very important. First quarter of next year will conclude construction over the next few months and then execution in distribution, which will bring about a lot of transformation ability in the states. We will remain any new players that will come in looking forward. So that’s it about Compass as for fuel? Well, it’s a volatile world right now, and I cannot affirm that this drop trend will continued. There are so many geopolitical variables and there may be an increase in demand coming from China after full lockdown, although despite the market signals, but China might come back very quickly and there’s the war, which is still going on, the winter’s coming. So before the winter, there may be a pickup diesel, it’s very short still all over the world. And we believe that Petrobras will continue to make adjustments. So that parity remains. You have very valid points. On the one hand, we have price reduction that helps consumption, reduces pressure on working capital, especially in the resale chain links. But on the other hand, I’m still – we’re still not convinced that this is a structural price drop scenario. There’s still a lot of volatility to come. And Raízen has also stood out in terms of being able to deal with volatility, working on supply and making sure that our resellers and clients who have contracts with us get what they need so that we can keep our competitiveness in the market.
Vicente Neto: Thank you, Luis.
Operator: Our next question comes from Luiz Carvalho from UBS.
Luiz Carvalho: Hi, Luis. Hi, Ana. Hi, Lewin. Thanks for taking my question. Luis, still on Compass stroke Commit, looking at what you mentioned, that was quite a relevant acquisition in Rio Grande do Sul with Sulgás, Gás Brasiliano, an important asset. Could it make sense considering recent events considering the preemptive rights of states? Would it make sense to consider a spinoff with assets in a specific region like the north or the northeast and to focus in the center south region? Could that be the objective? And also on capital allocation, there is a debate, there have been some use that Raízen has taken part for looking at BP’s assets more closely. So from the holding side, how do you see that capital allocation? I know that’s part of the company’s decision making process, but I would like to hear from you, how you see some additional movement in the sugar and ethanol business. And also if you could comment a few quarters ago, in our view, you did the right thing, interest rates have gone up and you decided to talk a few things you canceled that deal you had with Porto Seguro. And basically you were trying to protect the company’s cash. So leverage is still above two times. And as Isa said, we shouldn’t be seeing any quick deleveraging. So how do you see the interest rate scenario, vis-à-vis the companies leveraging level looking forward? Thank you.
Luis Henrique Guimarães: Thank you, Luiz. Yes, you have credit with us. You’re allowed three questions. Thank you. You said two questions, but one of them included two questions. Anyway, Compass. We will be concentrating, but I can’t tell you yet, because we’re still concluding negotiations, actually preemptive rights and the whole process. But at the end of it, we’ll have the number of distributors we have disclosed to you, seven are out. Gas Brasiliano belongs to Commit, a 100% and now with Compass share and 51% and then will have Gas Brasiliano and Sulgás. But at the end, our geographical position will completely make sense in our opinion, in terms of effort, potential growth, and our ability to generate results. So nothing’s changed since we spoke last time to today, but there’s a ritual to be followed, which is part of the process. As for the investment, as I said to Thiago, it’s about R$900 million to be raised and we will be deleveraging Compass’ balance sheet. And as a consequence, Cosan’s balance sheet. In terms of sugar and ethanol, we talked – we heard a lot about that during Rumo’s call on Friday, we’ll be filling the gap with Raízen. We have a BP Bunge inside Raízen, and we’re working hard to deliver on that. Obviously, in whatever segment, we are affected, so it’s our obligation to look at it. But we are still focusing on our priority, which are people, capital allocation, and delivering on our ability to execute and all the great results we’ve been getting with first cut, second cut sugar cane. There’s still some things to be corrected with the older sugar cane, but we should get to 90 million to 100 million tons. And the third question concerning capital discipline and interest rates and conservative position, we will continue to do the same apparently everything points to the fact that interest rates will no longer go up, but considering inflation, cost pressure and global volatility, that’s still happening. So we will continue to be conservative. And first question about deleveraging, there’s not a lot of room for that. Plus remember that there is seasonality in the second half of the year and our leveraging is at 2.4, but as Lewin said, we do have results coming in. We have stronger prospects for the second half, so we will continue with our guidance up to 2.5 and maybe reducing that in the next quarter. We feel comfortable with that. That’s where we want to operate. As you see, results are still strong and prospects for second half of the year are no different, but we will continue to be conservative given the global scenario and also the scenario in Brazil.
Luiz Carvalho: Great. That’s very clear. Thanks. During the next call, I’ll ask one question. Okay.
Luis Henrique Guimarães: Thanks, Luiz.
Operator: Next question is from Bruno Montanari from Morgan Stanley.
Bruno Montanari: Good morning, everyone. Thanks for taking my questions. My first question is about the TRSP construction. Could you give us an update on that? How did it go during this quarter? And considering 2023, we know the size of each company within the holding company, each one has its own relevance, but which part of the business is more sensitive next year? Which one will be – will the holding be looking more closely to for TRSP on time on budget, addressing satisfactorily? Obviously, there are always engineering challenges, but nothing that will compromise our objective to commission it for the first half of next year. Everything’s on track and as expected.
Luis Henrique Guimarães: As for our focus, well, it’s always important to reiterate that. Each company has its own management team focusing on its specific priority. So the holding company doesn’t need to follow each company’s results. So closely, now Moove saw that everybody is responsible for their own results. They all have what they need to make results happen. So we will continue to monitor things closely and to provide whatever support is needed or required. And wherever we can add more value, they’re all achieving great results. Moove’s international expansion continues to be the priority, incorporating the distribution companies, divestment, delivering E2G at Raízen and consolidating our business and marketing and services and expanding Rumo’s north network and consolidating our market share gains and operating gains in the central network and starting discussions on renewing south network. So those are all important topics and there’s a great opportunity that goes on investments. There’s a carbon opportunity. We think there’s a great opportunity to create credit – carbon credit at Radar. So you’ll be hearing more about that as things develop and to consolidate the final studies and divestments at the [indiscernible] sport. So that’s our agenda. We’re executing on it and they all generate considerable value for the company, all driven by people. Our main challenge in terms of growth right now is to make sure we have high quality resources, high performing teams and all the businesses we have been building. For each of these new businesses, we need new talent of a new skills. We have the TRSP coming in as a new challenge for us. It requires qualified skills, and this also moves international expansion. We’re always looking for synergies in our portfolio, especially in terms of acquiring resources and material. Groups companies have been working together to tackle cost increases and to rationalize everything in terms of investment and controlling the CapEx and investments we’re making.
Bruno Montanari: Okay. That’s great. Thank you, Luis.
Luis Henrique Guimarães: Thanks.
Operator: Next question is from Gabriel Barra from Citi.
Gabriel Barra: Hi, Luis. Hi, Lewin. Hi, Ana. I’ll try to focus on Compass, because we’ve heard a lot about the other businesses during their calls. There are two main points I’d like to discuss with you about Compass, please. The first one is considering the IPO and may be wrong, but we have gas market and the free market is the cherry on the cake in this new gas market segment. So when we looked at company’s prospects at the time with the approval of gas, so that the market moved forward, but not as much as we would’ve expected for this new gas market and probably mainly due to regulations. So my first question is how have you been dealing with the government and regulatory agencies about state regulations for free consumers in this context of the new gas market? And as a follow-up question, I don’t know if you’ve touched on this. I think it’s interesting. We heard some recent news that you might be near contract A and B [indiscernible] update us on how things are going. How do things look for Compass right now? And if I may ask another question, sorry. In terms of the TRSP, do you see any opportunity to have a similar project to that in other places in Brazil? Because there isn’t a gas under supply potentially in Brazil. And I think LNG would be key for that in Brazil. My question is, would it be possible to consider other TRSPs in other places in Brazil, perhaps in places where you have gas distribution?
Luis Henrique Guimarães: Okay. I’ll start by the last one because I think it will be helpful when we talked about – we talk about the other items. So in our opinion, Brazil has significant reserves to increase gas supply in Brazil. This result the level of rejection is quite high. Obviously, Brazil’s challenge is to create demand. So that is the thesis Compass has always based itself on. And that’s why we focus on distribution and gas sales, which obviously has its challenges. So 60% of the market – the gas market in Brazil is already regulated for free consumers. So 60% of the volume could be free clients if everyone were to migrate to that mode. So Compass is making a huge effort as we did in Comgás’ region, but now we would be replicating the same thing in the distribution companies we’re working with so that client can, if they so wish migrate to the free market. It’s not a simple thing. There are challenges. When you change, you do take on your risks, but there are also benefits. Anyway, that is the direction and that is Compass’ advocacy with its clients, with the regulatory agency and other stakeholders. Any consumer who wishes to migrate to the free market should be able to do so and to buy its gas directly from producers. Brazil has a great deal of gas, but it needs to migrate to the Coast. So we need infrastructure. Some of it is being concluded right now, but some of it is being designed and should be concluded in the near future. Hopefully that will take off. And especially now that there’s this geopolitical change in the world, there’s an opportunity for national – the national industrial sector to expand its capacity and fill that redistribution gap, near shoring, friendly shoring that’s happening all over the world given geopolitical issues, war, China versus the states Taiwan. So to our mind, there are plenty of opportunities for gas to flow from national production in the Brazil’s south region, which is abundant and TRSP to your other question plays a key role. It’s at the core of Brazil’s consumption in the Southeast. In our opinion, this is a structuring investment for Brazil because it provides flexibility and optionality. We talk a lot about that. So any new terminal along the Coast will be a matter of optionality and opportunity, and it doesn’t have to be done by Compass to be a partnership. Some of the businesses that have been looking into those projects, but I’d like to reiterate the fact that Brazil has plenty of gas that can be brought to land and can be used to leverage the growth of the gas market in Brazil, and Compass will always be close by whether it be through direct investments, investments with partners or sales agreement so that this can be feasible, so that there are more optionalities and more supply choices, which are essential to grow that market in Brazil. And the connection with the free market is also an effort on Compass side. Things are moving forward as the market develops. And the last point about going up the hill, these issues are being discussed by São Paulo state regulators, ANP that’s a regulatory matter. So we’re waiting for the decision. And whatever comes to pass, we’ll continue to do our homework, following whatever has been approved, whatever has been established within the regulatory framework and continuing with investment and construction work. But that’s something that is up to the decision of the regulatory agencies asset and ANP.
Gabriel Barra: Great. Great, that’s great. Thank you.
Operator: Our next question comes from Mr. Regis Cardoso from Credit Suisse.
Regis Cardoso: Good morning, Luis. Hello, Lewin, can you hear me?
Ricardo Lewin: Yes.
Regis Cardoso: Just a couple of follow-up questions, please. You mentioned that you expected $900 million to come in from Commit’s divestments. If you could clarify, please, those $900 million is that Cosan’s stake or is that the overall amount for Commit? And is that before or after any income tax from the sale of those assets and the capital? And another follow-up question is about corporate debt. Know that your intent is not to deleverage the consolidated company, but considering where that debt is, it leads to fiscal inefficiencies at the holding level. So since the debt is bigger and interest rates are higher, the size of the opportunity for the tax show that you could potentially benefit from is harder because your chance to make the most of the whole tax shield at the holding level is smaller. Are you considering reducing the debt at the holding level or perhaps redistributing it across the companies? Thank you.
Luis Henrique Guimarães: Thanks. Your first question Regis, the $900 million is the overall amount. That’s what we’ll be getting cash for the payment of the share we’re selling in the two distribution companies, which already have assigned sale agreement considering prior conditions, preemptive rights and others. But that is the total amount we’ll be receiving. Lewin, would you like to take the second one?
Ricardo Lewin: Yes. Well, we need to separate the company’s debt, and the holding debt. The holdings debt comes from investments in new businesses, our idea is to have both things quite separate and the debt we’re taking on for instance the debentures went to liability management. And if we require, we’ll do it for new investments to be made, not at the holding level, but at the company’s level. I answer that question during Cosan Day. You as analysts to be looking at the fact that we’re making the most a 100% of our tax losses in the last five years or six years. And our fiscal, our tax department is extremely skillful, selling assets. We shape our loss so that we can make the most of it. And we’re doing the same analysis for the next few years. So in your models, it’s important that you consider the way we’ve been using that. Whenever we take on new debt that’s what we do. So from making the most of it and tax and efficiency, that is not the case. Obviously, if we had the opportunity to do it, we would do it, but it’s not that simple giving company structures. And from a net position on the investor side, there is no inefficiency. Obviously, the future will depend on our accumulated tax losses and other operations that we can deploy to make sure we continue that way, but we’re consistently paying attention to that. We won’t leave any money on the table if there’s any chance to generate benefit to the companies and the shareholders in terms of acquiring that at our invested companies and the leverage – the holding, I mean, that’s just business as usual.
Regis Cardoso: That’s great. Very clear. Thank you, Luis. May I ask a quick follow-up question?
Luis Henrique Guimarães: Yes, sure.
Regis Cardoso: As always, there’s a lot going on in the company’s portfolio, but for some catalyst events coming forward, it seems to me, could you help me understand your timeline? So considering Compass, you have the TRSP will go into operation. And are you expecting to consolidate your controlling share in other companies, or will you be having an Investor Day to talk a little bit more about Compass’ plans or what Cosan Day it? And if I think of Cosan investment, you have the mining JV, what would the timeline be considering new milestones Rumo and Raízen, yes. We heard enough about that during their own earnings release calls. I don’t know if I was clear, I’d like to hear about milestones that investors can expect in terms of catalyst events and other assets in the group’s portfolio.
Luis Henrique Guimarães: Yes, it’s clear. Well, Compass is focusing completely on delivering the TRSP and the new distribution companies and how we’re going to do it, the culture together with Mitsui our partners. So backstage, there has been a lot of work into building Commit, and we were very happy to start day one with an established company, which is the results of all the prepping we did, obviously distribution when the time is right will be talking to the market as it always does on Cosan Day and if we need any to disclose any additional information, we’ll do that. The team will be doing that. But we have been able to do everything we wanted to all the milestones we wanted to renewing our contract with Comgás, speed it up the construction of TRSP, turned gas Gaspetro into Commit that’s what the group had been focusing on. And now we’ll be focusing on an even more diligent execution. And the only thing we’re missing is the divestment, but that is an ongoing process. We’re going to be consuming some resources, but we’re taking care of that too. As for Cosan investments, especially mining, while next year we’ll be confirming the reserves. Our partners reserves our asset. It’s the port, it’s 100% under our control. And we’re focusing on developing executive project for support to get it ready for when the time is right. So the port is a very important asset. We’re very happy with the progress the team has been making there and everything to do with planning the port’s capacity, because the port meets all the requirements we could possibly want in terms of capacity, future capacity, and considering the different construction phases, expansion phases, the births and that’s what we’re focusing on. Developing the executive project, that’s our side and our partner is focusing on the pilot plan, which has been performing extremely well. So the negotiations that are ongoing in terms of future logistics, transportation, and the confirmation of mining resources according to the schedule.
Regis Cardoso: Thanks, Luis. That’s very clear.
Operator: Next question comes from Lucas Ferreira from JP Morgan.
Lucas Ferreira: Everyone, thanks. Luis, as you said, things are still quite volatile, right? My question is about capital allocation. What – in terms of using your account, do you think CapEx at the subsidiary, you slowdown investments and looking at other opportunities or do you think there’s still value in buyback, the Cosan shares or the group shares? Also could you talk a little bit about how the IPO of maybe Compass and Moove, what does that come in terms of your priorities?
Luis Henrique Guimarães: Well, even with a more conservative position, since we spoke to you last quarter, last year, we haven’t stopped doing anything that is important for the companies. These opp – there are opportunities for growth that generate value. We’re doing all that. We’re expanding the north network phases. We have acquired PetroChoice and we’ve turned Gaspetro into Commit, TRSP we’ve announced three new E2G plants, a new biogas plants. So all the projects that generate value in our pipeline will be implemented. They are being implemented. It’s important to mention that. So there won’t be any change in that sense, if the interest rate curve closed down, we won’t change our discipline. All of the plan are based on market positions, contracts, or demands that allow them to be taken place and to be giving return on the investments that we expected. That’s not going to change. Things will continue along those lines. And so we don’t see any change taking place in the short-term. That’s where opportunities you’ve mentioned them. As Lewin said, we have an open buyback program and both at the holding level and at the subsidiary level, and we will be exercising it whenever there’s value generation, whenever it makes sense to do so. So we’re very happy with the different opportunities in each of the portfolio, Cosan investments arising Moove, Rumo, and Compass, Compass and Moove will always it looking at the opportunity of an IPO when the time is right. When investments are mature, of course, there has to be a market window. We always try to find the right time to do it. You know how we operate that’s the same thing we’ve been doing for the past 15 years. So we try to make the most of the best market windows. And in order to do that, we have to be ready. So in your assumptions, you can always consider that we are ready to do what’s right, when there is an opportunity in the market, when it generates value to shareholders, and whenever there’s an opportunity to grow our company.
Lucas Ferreira: Thank you, Luis.
Operator: Thank you. This concludes the question-and-answer session. I will now turn the floor to Mr. Luis Henrique for his closing remarks.
Luis Henrique Guimarães: Thank you, everyone for joining us. Thank you for your questions. It’s always wonderful to hear what you have to say to hear your questions, because it’s food for thought. It makes us think about new opportunities that we can make the most of as you can see, it’s been a great quarter for all companies and quarter results. Most of our all are important to reiterate our conviction about what we’re doing and many structural things have been concluded. So we are keeping our agenda for growth consolidation and execution, and that’s what drives us forward. Continue to be bullish, considering the world’s pure political changes, our portfolio does have the comparative and competitive advantages because we’re in Brazil and not only in our current portfolio, but portfolios we’re bringing in as well and we do have the ability to execute on those projects on time, on budget, with more efficiency, less cost, and ensuring our penetration in various segments. You saw that we have reiterated the guidances for the rest of the year. It’s not an easy year. It’s quite volatile. We’re going into elections now. As of tomorrow, campaigns will be taking place. So there will be volatility, but we will be monitoring things closely to make sure that we don’t only look at opportunities, manage risks, but also continue with our purpose to generate opportunities and driving an energy transition that will continue to accelerate the decarbonization of the companies in our portfolios, our clients, and our partners. Thank you so much for the last few months for being there with us. And we’ll definitely have the 2022, we promise to the market with some positive surprises to come. Thanks and have a great day.
Operator: Thank you. This concludes Cosan’s conference call. Thank you and have a nice day. Good bye.